Operator: Greetings, and welcome to the Genuine Parts Company Second Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I now like to turn the conference over to your host, Sid Jones, Senior Vice President, Investor Relations. Thank you. You may begin.
Sid Jones: Good morning, and thank you for joining us today for the Genuine Parts Company second quarter 2019 conference call to discuss our earnings results and outlook for 2019. I'm here with Paul Donahue, our Chairman and Chief Executive Officer; and Carol Yancey, our Executive Vice President and Chief Financial Officer. Before we begin this morning, please be advised that this call may include certain non-GAAP financial measures, which may be referred to during today's discussion of our results as reported under Generally Accepted Accounting Principles. A reconciliation of these measures is provided in the earnings press release issued this morning, which is also posted in the Investors section of our website. Today's call may also involve forward-looking statements regarding the company and its businesses. The company's actual results could differ materially from any forward-looking statements due to several important factors described in the company's latest SEC filings, including this morning's press release. The company assumes no obligation to update any forward-looking statements made during this call. Now, I’ll turn the call over to Paul for his remarks.
Paul Donahue: Thank you, Sid. And I’ll add my welcome to our second quarter 2019 conference call. We appreciate you taking the time to be with us this morning. Earlier today, we released our second quarter 2019 results. I’ll make a few remarks on our overall performance and then cover the highlights across our businesses. Carol Yancey, will provide an update on our financial results and our current outlook for 2019. After that, we'll open the call up to your questions. To recap our second quarter performance across our global platform, total sales were a record $4.9 billion, up 2.3% from Q2 of 2018, driven by a 1.6% comp sales increase, and a 2.7% benefit from strategic acquisitions, net of a 1.5% headwind from foreign currency translation, and a 1.5% impact from the Auto Todo divestiture. Net income in the second quarter was $224 million and earnings per share were $1.53. Excluding the impact of transaction and other cost related to acquisitions, adjusted net income was $230 million, or $1.57 per share. Our second quarter results were highlighted by positive total sales growth in each of our automotive regions, including the U.S., Canada, Europe, and Australasia and in our industrial segment, while the business products group had a slight decline in sales. Our core automotive performance in Europe was pressured by the ongoing transitory factors of a mild winter season and broad economic and political consideration. Turning to a more detailed review of our business segments, total sales in our Global Automotive Group, which represented 56% of our total revenues were up 1.4%. This includes a 1.3% comp sales increase and a 3.5% benefit from acquisitions. This was partially offset by an unfavorable foreign currency of 2.5%, and the impact from the sale of Auto Todo in Q1.  By region, our U.S. automotive sales were up 2.3% in the second quarter with comp sales at plus 3%. This marks the continuation of solid U.S. sales comp in our fourth consecutive quarter of 3% comp sales growth, despite the challenge of wet conditions across much of the country throughout the quarter. We remain confident in the strength of the U.S. automotive aftermarket over the balance of the year, and we look forward to executing on our growth initiatives to cease the opportunities provided by both the positive business climate and sound industry fundamental. In the second quarter, we had positive sales growth with both our commercial and retail customers. We were especially pleased with the strength of our sales to the commercial segment, which represents close to 80% of our total U.S. automotive sales. While we experience sales gains across our commercial customers segment, sales to our NAPA AutoCare Centers drove the outperformance. Sales to our AutoCare customers were up 5%, in-line with the first quarter and improved from the 3.5% growth in 2018. This was a direct result of the increase focused by our new management team to drive a greater share of wallet with these strategic customers. NAPA AutoCare represents the fastest growing customer segment for our U.S. automotive business and is targeted to represent well over 18,000 members this year.  We expect continued growth from these customers in the quarters ahead. Sales to our major account partners were up 2% in the quarter [technical difficulty] regional accounts and OE dealers among others represent a large and important customer segment. Driving improved sales with this group is meaningful to our overall results and an important element of our growth strategy. Turning to our retail segment, sales to this group were positive as noted before, but pressured somewhat from the wet weather that persisted throughout the quarter. We believe our retail business will bounce back as the weather normalizes. Our retail impact stores, which represent those stores that have been renovated and reset continued to outperform our overall retail performance, and we have significant opportunity to further expand this initiative across our network. While we have successfully completed this initiative in our company stores, we’ve really just begun to implement these changes at our independent stores. In addition, the NAPA Rewards Program, which now has reached 10.7 million members strong continues to drive additional retail sales and positively impact our overall results. At NAPA Canada, our business remains strong having produced another quarter of solid sales growth driven by mid-single digit comp sales growth and the added benefit of accretive tuck-in acquisition. Our Canadian team maintained a strong margin and we expect to continue to build on this positive momentum. In Europe, our automotive business continued to operate in a challenging sales environment. The mild winner across most of the regions in which we operate, disruption of business associated with Brexit, and the overall softening economic environment each weighed heavily on our core sales and significantly pressured our operating results. Our management team in Europe began taking step to address these issues early in the first quarter by implementing comprehensive cost saving initiative to mitigate the effects of this downturn. We are ramping up these ongoing efforts and expect to personally offset our property clients in Europe over the balance of the year. During the quarter, we announced the closing of the PartsPoint acquisition effective in June. This new business is an excellent strategic fit for AAG and we’re excited for the growth opportunities we see in the Netherlands and Belgium. The Benelux region of Europe has not been impacted by the economic and political factors affecting much of Europe, providing a more stable operating environment. We expect PartsPoint to generate estimated annual revenue of $330 million and look forward to growing this business and further strengthening our European operations. And finally, yesterday we announced that AAG has entered into an agreement to acquire the Todd Group, a leading distributor in France for heavy-duty and truck parts and accessories for the independent heavy-duty aftermarket. The European heavy-duty market has avoided the economic and other pressures in Europe and continues to grow at solid rates. With the addition of Todd, AAG becomes the undisputed leader in the independent heavy-duty aftermarket in France with well over 300 total locations. We expect this transaction to close in the fourth quarter of 2019 and for this business to generate $85 million in estimated annual revenues. Undoubtedly, we are all disappointed with our recent results in Europe. We remain committed to our growth plans, while also taking proactive steps to immediately reduce our cost structure and work through these challenges, which we believe to be transitory in nature, but impactful in the near term as we have seen in this quarter’s results. In Australia and New Zealand, we are pleased to report another solid quarter with low to mid-single digit sales increased for both total and comp sales. This steady growth reflects the positive impact of a well-executed growth strategy combined with the effective cost controls and sound aftermarket fundamentals. As part of our growth plans for this business, we increased our investment in Sparesbox to 87% effective July 1. While not significant to our financial results, Sparesbox is Australia’s leading online automotive parts and accessories business. As a cutting-edge digital specialist, this partnership served to enhance our understanding of the digital marketplace and grow our digital sales capabilities in Australasia and potentially across our global operation. We are excited to expand our partnership with the Sparesbox team and look forward to growing our business together. In summary, while our European business remains challenged, our automotive businesses in the U.S., Canada, and Australasia are performing well thus far in 2019. We are confident that we can continue this positive trend, while also working to improve our European results in the quarters ahead. Turning now to our Industrial Parts Group, this business continues to perform well with sales of $1.7 billion, up 4.9%, including 3.1% comp sales growth, and a 2.1% benefit from acquisitions, which was partially offset by a slight currency headwind. Importantly, this quarter’s sales growth drove improved profitability and a 30-basis point improvement in operating margin. So, we are pleased with the continued progress we are making in our industrial business. Overall, we continue to effectively execute on our growth initiative and operate in a stable industrial economy. In addition, our acquisitions continue to perform well and positively contribute to our overall results. Looking to our product and industry sector sales performance, our results were consistent with the first quarter. 12 of 14 major product groups posted sales gains with especially strong results in the industrial supplies, material handling, and hose and pumps category leading the way. Additionally, 9 of the top 12 industries, where we compete, generated sales increases, highlighted by strong growth across several sectors, including iron and steel, fabricated metal products, chemicals and allied products, aggregate and cement, food products, and automotive sectors. Offsetting these positive results were softer sales in the electrical specialties group, primarily driven by the impact of lower copper pricing. We remain confident in the growth outlook for our North American industrial business for the balance of the year. In addition, as previously announced, we expanded our industrial footprint into Australasia with the purchase of the remaining 65% stake in Inenco, effective July 1. We originally purchased a 35% stake in Inenco in 2017 and held the opportunity to acquire the balance of the company at a later date. Throughout our two-year partnership, this team consistently exceeded our expectations, and we look forward to growing our business together for many years to come.  Inenco, is already one of Australasia's leading industrial distributors with operations in Australia, New Zealand, Indonesia and Singapore. In total annual sales of approximately $400 million. Inenco is an excellent strategic fit with motion in North America from a products and services perspective, and presents tremendous opportunities with our global suppliers and extensive and diverse customer base. Likewise, we expect to realize additional cost-related synergies associated with our automotive business in Australasia. So, we are excited to move forward with full ownership of this outstanding organization and we officially welcome Roger Jowett and the Inenco team to GPC. Now, we want to update you on our performance at S.P. Richards, our business products group. For the second quarter, total and comp sales for this business were down slightly. While business products has performed well for several quarters, we experience a bit of softening in our core office supply business in Q2, although our facilities and safety supply supplies business delivered solid results. FPS represents 35% of our total business products revenue and is the fastest growing segment in the industry, providing us with additional future growth opportunities. In addition, during the second quarter we operated well and we held our operating margin constant with last year. This bodes well for margin improvement as sales strengthen and we build on our position as the only independent national business products wholesaler in the U.S. So, that's a recap of our consolidated and business segment results for the second quarter of 2019. With that, I'll hand it over to Carol for her remarks.
Carol Yancey: Thank you, Paul. We will begin with a review of our key financial information and then we will provide our updated outlook for 2019. With our second quarter total sales of $4.9 billion, representing a 2.3% increase and including 1.6 comparable sales growth, our gross margin in the quarter was 32.4%, compared to 31.6% in 2018 with the improvement in margin relating to several factors. Similar to the first quarter, the increase primarily reflects higher margins in our automotive and industrial businesses, due to the ongoing initiatives, including taking advantage of a global supplier presence, more flexible and sophisticated pricing strategies, and favorable product mix. In addition, the increase in supplier incentives across our business segments also had a positive impact on gross margin. Our team has done an excellent job of improving our gross margin and for the balance of the year, we continue to expect our 2019 gross margin rate to remain relatively in line with our current run rate. This assumes continued inflation in the 1% to 2% range and consistent levels of volume incentives. The pricing environment has been relatively inflationary thus far in 2019. In automotive, price increases primarily reflect the impact of tariffs, while industrial and business products have seen increases associated with general inflations in areas such as raw material pricing, commodities, and supplier freight. Thus far, we have been successful in passing on the price increases to our customers to protect our gross margin overall. So, we continue to believe that the current levels of inflation have been a net positive to our results. We expect this to continue through the balance of 2019. Specific to tariffs, their impact in the second quarter as well as the six months relates to the 10% tariff previously implemented. By segment, the impact of tariffs on our sales in the second quarter were 1.2% for U.S. automotive, 0.3% for industrial, and 0.3% for business products. As mentioned before, we have maintained our gross margin related to the 10% tariffs and we expect to do the same as we incurred the 25% tariff impact going forward. As a reminder, 10% of our U.S. cost of goods sold is subject to this tariff, including 20% of our U.S. automotive cost of goods sold, and 9% of our business products cost of goods sold.  Turning to our SG&A, these expenses were $1.2 billion in the second quarter, which represents 24.7% of sales. These operating costs were up 6% from last year as a result of several factors, including the effect of rising cost in areas such as payroll, freight, IT and cyber security, as well as the loss of leverage on our expenses in Europe and business products due to the declines in their comparable sales for those businesses. As we have discussed in several of our past earnings calls, we have ongoing initiatives to offset the rising cost environment and to better leverage our expenses as we move forward. These include steps to more effectively integrate our acquisitions, facility consolidations, productivity solutions, and other initiatives to drive efficiencies across our operations. As Paul will cover later, we recognize the need to produce greater cost savings and we’re developing additional plans to get that done. So, now let’s discuss the results by segment. Our automotive revenue for the second quarter was $2.8 billion, up 1.4% from the prior year, and our operating profit of $228 million was down 6% with an operating margin at 8.2%, compared to 8.9% margin in the second quarter of 2018. So, while they continue to see improvement on our gross margin line, we were also impacted by rising costs, as well as the deleveraging of expenses in Europe, which accounts for more than half of the decline in our margin. As mentioned earlier, we are enhancing the initiatives to address our cost in the quarters ahead. Our industrial sales were $1.7 billion in the quarter, a solid 5% increase from Q2 of 2018. Our operating profit of 136 million is up another solid 9%, and operating margin improved to 8.1% from 7.8% last year with a 30-basis point increase due to gross margin expansions and the leveraging of expenses. The industrial businesses continue to operate well with 10 consecutive quarters of strong sales and operating results. Our business product revenues were $478 million, down 1% from the prior year. Operating profit was $21 million and 4.4% of sales, which is consistent with 2018. They are solid operating results as this business continues to stabilize. Our total company operating profit in the second quarter was 386 million, down 1.2% on a 2.3% sales increase and our operating profit margin was 7.8%, compared to 8.1% last year. We had net interest expense at 23 million in the second quarter, which was consistent with the first quarter, but down from the 26 million in the second quarter last year. Looking ahead, we’re currently expecting net interest to be in the $97 million to $98 million range for the full-year, which is up from our previous estimate of $91 million to $93 million. This accounts for the new debt assumed for the PartsPoint and Inenco acquisitions. Our total amortization expense was $24 million for the second quarter, and for 2019 we are updating our full-year amortization to approximately $100 million from the previous $92 million, also due to our recent acquisitions. Our depreciation expense was $42 million in the second quarter and we continue to expect depreciation of $170 million to $180 million for the year. On a combined basis, we expect depreciation and amortization to be in the range of $270 million to $280 million for 2019. Continuing with this segment information presented in our press release, the other line, which primarily represents our corporate expense was $37 million in the second quarter, which includes $4 million in transaction and other costs, primarily related to the PartsPoint acquisition. Excluding these costs, our corporate expense was $33 million, which has improved slightly from 2018 when adjusted for the $9 million in transaction and other costs recorded last year. For 2019, we continue to expect our corporate expense to be in the $125 million to $135 million range. Our tax rate for the second quarter was 25.7%, which is an increase from the 24.4% rate in the prior year. This is primarily due to the non-deductible transaction, and other costs, as well as statute-related adjustments that are reported in these periods. For the full year, we continue to expect our 2019 tax rate to be approximately 25%.  Now, let’s turn to the balance sheet, which remains strong and in excellent condition. Our accounts receivable of $2.8 billion is up 6% from the prior year. This compares to our 2.3% total sales increase and it also includes a 3.7% impact from our acquisitions, including PartsPoint, which was acquired in June. We remain very pleased with the quality of our receivables. Our inventory at June 30 was $3.8 billion, up 8% from June of last year. This increase primarily relates to the additional inventory that was acquired through the acquisitions over the last 12 months, which added 6.5%. In addition, the increase in inventory includes the impact of inflation, as well as tariffs. We remain focused on maintaining this key investment at the appropriate levels as we move forward. Our accounts payable of $4.1 billion is up 6%, due mainly to the increase in purchasing volumes and to a lesser degree the benefit of improved payment terms with our key global partners. At June 30, our AP to inventory ratio stands at a 108%. Our total debt of $3.9 billion at June 30 is up from $3.4 billion at March 31, and this is due primarily to the additional private placement debt that we assume for the recent acquisitions of PartsPoint and Inenco. We entered into these agreements with favorable rates and maturity periods ranging from 5 to 15 years. At June 30, our average interest rate on our total outstanding debt stands at 2.5%, which has improved from 3.0% at June 30 last year. We remain comfortable with our current debt structure and have a strong balance sheet and the financial capacity to support our future growth initiatives and our ongoing priorities for effective capital allocation. Turning now into our cash flows, we have generated approximately $300 million in cash from operations thus far in 2019. For the full-year, we currently expect approximately $1 billion in cash from operations and free cash flow, which excludes capital expenditures and the dividend to be in the range of $300 million to $350 million. So, we expect our cash flows to continue to support our ongoing priorities for the use of our cash, which we believe serves to maximize shareholder value. Our key priorities for cash remain the reinvestment in our businesses, strategic acquisitions, the dividend, as well as share repurchases. We have invested a $107 million in capital expenditures thus far in 2019, which is up from $65 million in 2018. This reflects our growing global platform and a planned increase in our investment in areas such as technology and productivity in our facilities. For the year, we continue to plan for capital expenditures in the range of $300 million. Our 2019 annual dividend of $3.05 was increased 6% from 2018 and is approximately 54% of our 2018 adjusted earnings, which is within our targeted payout ratio. 2019 marked our 63rd consecutive annual increase in the dividend paid to our shareholders and it’s a record we are proud of. Regarding our share repurchase program, we continue to have 16.4 million shares authorized and available for repurchase. We have not made any purchases under the program in 2019 as we have been active with other investment opportunities such as the recent M&A activity and capital expenditures that were discussed in this call. So, now let’s discuss our current outlook for 2019. In consideration of our results thus far in the year, our current growth plans and initiatives and the market conditions we see for this foreseeable future across our operations, which include the slowing global economy and continued softness we expect in Europe over the balance of the year, we are updating our full-year 2019 sales and earnings guidance. In addition, we took into account the recently added PartsPoint and Inenco acquisitions, as well as the impact of a strong U.S. dollar, which we continue to estimate as a 1% currency headwind for the full-year. Finally, our outlook accounts for one additional selling day in the third quarter relative to 2018 to make up for the one less selling day in the first quarter of 2019. With these factors in mind, we expect our full-year sales to increase 4.5% to 5.5%. This updated sales outlook represents a change from our previous guidance for a plus 3% to plus 4% sales increase, and it includes an approximate 2% sales contribution from the PartsPoint and Inenco acquisitions. As is customary, this guidance excludes the benefit of any future acquisitions. By business segment, we are guiding to plus 4% to plus 5% for the automotive segment, which is improved from our previous guidance of plus 2.5% to plus 3.5%, due to an approximate 2% contribution from PartsPoint; plus 7% to plus 8% for the industrial segment, which is up from plus 5% to plus 6% previously, and this is inclusive of an approximate 3% sales contribution from Inenco; and essentially flat to down slightly for total sales for the Business Products segment. On the earnings side, we expect diluted earnings per share to be in the range of $5.42 to $5.52, which accounts for the transaction and other costs incurred through the first six months of 2019. We are updating our outlook for adjusted earnings per share to $5.65 to $5.75 from $5.75 to $5.90 previously. This represents a $0.15 to $0.20 change in earnings before an approximate $0.05 contribution from PartsPoint and the additional 65% investment in Inenco. As a reminder, adjusted diluted earnings per share excludes any first half, as well as future transaction and other costs. So that completes our financial update and outlook for 2019. We enter the second half of the year committed to our initiatives to grow the business and improve our operating results. We also remain focused on further strengthening our balance sheet and generating strong cash flows to support an effective and meaningful capital allocation. Paul, I’ll turn it back over to you.
Paul Donahue: Thank you, Carol. With this quarter's challenges and the need to modify our full-year outlook, it’d be easy to overlook our team’s accomplishments, which include the following. We achieved record quarterly sales of $4.9 billion, including positive comp sales growth in our U.S., Canadian and Australian automotive businesses. We improved our gross margin significantly with a 91-basis point gain. Our industrial business continues to perform well with operating margins improved 30 basis points. We further stabilized our Business Products operating margin, which was unchanged from last year; and we expanded our global footprint with two large strategic acquisitions, PartsPoint Group in The Netherlands and Inenco in Australia. That said, we also thought it would be important to remind you of our multi-year efforts to optimize our portfolio and position the company for a sustained long-term growth. We spoke to this journey at our June 4 Investor Day and want to highlight a few key points for you now. First, we expanded our automotive footprint beyond North America and into Australasia six years ago. And this group has performed very well for us and added significant value. More recently, since 2017, we’ve added 45 acquisitions to our portfolio, which have provided $3 billion in incremental revenues and positively contributed to both our automotive and industrial footprints. While the majority of these new businesses have represented strategic bolt-on types of acquisitions, we've all stepped out and taken advantage of more significant opportunities, including our entree into Europe in late 2017 via Alliance Automotive, which we have further expanded with key strategic acquisitions in 2018 and 2019, and effective this month, our industrial expansion into Australasia with the purchase of Inenco. And while our European operations performance has impacted our first half results, we believe the challenges for this business are transitory, and we remain 100% confident in the industry fundamentals and longer-term growth prospects for this group, as well as the value it will create as part of our portfolio. In addition to these expansionary initiatives, we have also taken steps to streamline our operations. In 2018, we consolidated our electrical business into motion industry to build a larger, stronger, and more cost-effective industrial business. Effective this year, we consolidated several automotive operations representing our in-house supply network in NAPA to a more efficient North American automotive supply chain. And finally, earlier this year, we divested of our legacy automotive business in Mexico Auto Todo to more effectively focus on the growth potential of our NAPA Mexico model established just a few years ago. Today, we go to market with a strong and cohesive automotive network and enhanced global industrial operation and a re-energized Business Products group. We remain confident in our overall strategy and the additional growth opportunities we continue to pursue across our global platform. Make no mistake; we are not satisfied with our overall results in the quarter. That said, we are confident the plans we are implementing will have a long-term positive impact on our cost structure. Our immediate focus is on the execution of our initiatives to control costs and improve our profitability. While this has been a consistent theme for us throughout our transformation process, and we have had some success through our investments in technology and automotive supply and industrial realignments, we have yet to fully realize the savings we need to outpace the pressures of rising cost and the increase in the spend for necessary investments. So, to this end, we are accelerating our ongoing cost savings plans and developing aggressive expense reduction initiatives to more effectively address our cost structure, drive meaningful savings and ultimately deliver incremental value. The senior leaders across our business and corporate office have been tasked with this mission, and we will be held accountable to work together to execute on plans to eliminate costs, as well as standardize and automate processes while ultimately enhancing our productivity to further support our ongoing growth. As examples, through our early efforts, we have identified opportunities to restructure and consolidate several functional areas and facilities, reducing both personnel and occupancy cost such that we can operate more efficiently and at a lower cost. Clearly, the successful execution of these and other cost initiatives will require some heavy lifting and the focus of our entire organization. In addition to these initiatives, we will also be working to aggressively drive incremental revenue growth capturing a greater share of wallet with our existing customers, securing new business opportunities, driving our digital strategy, and finally, securing additional bolt-on acquisitions will all play a part in delivering an improved topline performance. We have a highly capable management team and anticipate delivering improved results and creating value for our shareholders. We will update the investment community on our action plans and progress in our third quarter earnings call. Thank you for listening, and with that, we’ll turn it back to the operator, and Carol and I will take your questions.
Operator: Great, thank you. [Operator Instructions] Our first question here is from Daniel Imbro from Stephens. Please go ahead.
Daniel Imbro : Yes. Hi, good morning, guys. Thanks for taking my questions. 
Carol Yancey: Good morning.
Daniel Imbro : Wanted to start actually with a clarifier, Paul. I may have missed it in the prepared remarks, but could you just share what were European overall comp sales during the second quarter? Did you guys share that in the prepared remarks?
Paul Donahue: Daniel, the comps out of Europe, if you recall Q1, we were down slightly in Europe and in Q2 that deceleration – really it was amplified and our comps in Europe were down closer to 7% to 8% in the quarter.
Daniel Imbro: Got it. Thank you. That’s helpful. And then, just digging into that a little bit deeper, are there certain geographies that are meaningfully weaker than others? Obviously, you noted that Benelux is more resilient. And then, just within that we didn't get much of a winter, but we did get some recent extremely heat, did that drive any uptick? Or how was the cadence through 2Q across Europe?
Paul Donahue: Yes. That’s a great question, Daniel, and as you know, our three primary markets are France, the UK, and Germany. We’ve just entered Benelux, we’re also in Poland. We’ve seen Benelux and Poland have largely escaped some of the downturn we've seen in France, UK, and Germany. The biggest challenge for us in Q2 was France followed by the UK. Germany actually bounced back in Q2. They had a soft first quarter, but actually showed a slight increase in Q2. And I would also – you commented on the recent warmer temps, record high temps in Europe, and what we’ve seen out of the blocks in July and its early, Daniel, but we have seen better sales performance in the month of July and we would attribute some of that certainly to the extreme heat that we've seen in our markets.
Daniel Imbro: Great, thanks. That’s really helpful. 
Paul Donahue: Welcome.
Daniel Imbro: And then, last one for me. Just on the U.S. auto side, you know, weather you noted was disruptive given the rain. Could you maybe quantify what kind of headwinds that was to your business here in the U.S.?
Paul Donahue: Yes. It's hard to say – to pinpoint exactly, Daniel, but look, I think Q2 was just one more reminder for all of us that, you know, the impact that mother nature can have on our business. We were – if you look at the cadence of the quarter, we were – in the U.S. automotive, we were up slightly in April. May was our most difficult month, and certainly when you look at the weather patterns, May was the most challenging weather-related month. It was awfully wet, still cold. And then, we bounced back in June with a much stronger June. So, hard to pinpoint exactly, but we absolutely know it had an impact.
Daniel Imbro: Great. Thanks so much guys, and best of luck.
Paul Donahue : Thank you.
Carol Yancey : Thank you.
Operator: Our next question is from Kate McShane from Goldman Sachs. Please go ahead.
Kate McShane: Hi, good morning. Thanks for taking my question. If I can just follow up on the auto part retail comment in question earlier, I was wondering if you could maybe characterize the competitive environment currently just now that we’re a few months in now with the tariffs, are you seeing your competitors [past prices] as well?
Paul Donahue : Yes, that’s a great question. We are – and I'm assuming you're referencing our U.S. automotive business.
Kate McShane : Yes, U.S.
Paul Donahue: Yes, and look, the environment is still very same. We have seen our competitors passing along tariff-related increases much like we have. So, we have not seen any serious disruption in the automotive aftermarket here in the U.S. So, you know, we’re continuing to monitor very closely, but at this point, I think everybody has passed along the increases.
Kate McShane: Okay, thank you. And then, my second question unrelated, I think on the last quarterly call you hosted you were talking about working capital improvement that was starting this year for Europe because you were putting supply chain programs in place. And I just wondered if you could update us on where you are with that and what it contributed in the quarter?
Carol Yancey: Yes. So, we did have – we continue to actually perform quite well. The synergy targets we put in place. We bought Europe a year and a half ago. Those include both procurement synergies and working capital synergies that were right on track for that with working capital being delivered. Having said that, [lot of the way] these terms come in and we’ve got these terms.  While they are negotiated globally, we could see it benefit in the U.S. as it relates to the European suppliers as well. So, we know we have further benefit coming in the second half and that’s contemplated in our guidance. So, Q2 you did necessarily see much of an impact, but we have implied for improvement both in global automotive, including Europe and North America as well, honestly as our industrial business for the second half and that’s contemplated in our guidance.
Kate McShane: That’s helpful. Thank you.
Operator: Your next question here is from Scot Ciccarelli from RBC Capital Markets. Please go ahead.
Scot Ciccarelli: Good morning guys, how are you?
Paul Donahue: Good morning.
Scot Ciccarelli: So, Paul, I guess, I just want to understand kind of the cadence a little bit better, and this is specifically on the U.S. auto side, if April was up just slightly, I’d probably interrupt that, I don’t know, 1% to 2%. I would also assume May was down a couple of points just given how wet it was and what we know it does to the business to get to a 3% comp for the quarter should we assume June was up at least in the mid-single digit range.
Paul Donahue: Absolutely Scot, you’re spot on with your assumptions.
Scot Ciccarelli: Okay, got it. Do you attribute that to anything, the weather cadence or is there something else that may have happened just so we can kind of understand if there is another influence on that factor?
Paul Donahue: Well, if you go back to my prepared comment Scot, what we saw in the quarter, as we saw in Q1 as well is our DIFM, our commercial business in solid. We continue the good momentum we had in Q1 in our NAPA AutoCare business. We believe we’re grabbing greater share of wallet with our key AutoCare customers. So that business as mentioned in my prepared remarks we’re very pleased with our major account business is positive, which is certainly an improvement over where we were last year. If you think about the impact of the weather Scot, certainly in the month of May that’s probably more, we were more impact on our retail side than our commercial business.
Scot Ciccarelli: And was the gap between DIY and commercial wider this quarter than it has been in recent quarters?
Paul Donahue: Yes, it was.
Scot Ciccarelli: Got it. Okay, thanks guys.
Paul Donahue: You’re welcome.
Carol Yancey: Thanks.
Operator: Our next question is from Chris Horvers from JP Morgan. Please go ahead.
Chris Horvers: Thanks, good morning everybody.
Paul Donahue: Good morning, Chris.
Chris Horvers: Carol, can you break down the EPS guide change a little bit further? I get the $0.5 for the acquisitions, but you are just thinking about the core emotion business, the core NAPA business, in particularly in the U.S., first is Europe. How did you change the underlying guide in the core businesses ex the acquisitions? Is it effectively lowering for European losses, but at the same time it looks like emotions you know sales outlook is a little lighter for the year considering the acquisition? So, if you could talk us through that that would be really helpful.
Carol Yancey: Sure, I’m happy to. So, starting with automotive first, implied in our Q1 comp, we did moderate probably a half a point or so in Q2. That is in part based on again the U.S. comp was strong at 3%, they were 3.5% for Q1. Europe as Paul mentioned, they are running down mid-single digits through the first half. So, we lowered a bit for Europe. We lowered small amount for U.S. and quite honestly, we have seen some weakness in Australasia. So, we looked at that business more so on their top line. We had a little bit there. So, implied in that automotive there is a slightly lower comp that went into our guidance and then you’re spot on for industrial as well.  What industrial is seeing is that maybe this happened a little sooner. The signals are definitely mixed, but where we had implied comp, you know of maybe 3 to 4 in Q1, we’re looking at more 2 to 3 right now, that is taken into account, the slowing business in our electrical specialties group that we called out in Paul’s comment, a lot of that is due to copper pricing and some of their customer mix, but again we felt it was appropriate to lower just a bit for industrial and then we do see a bit of moderation in some of our operating margins headwinds in the second half, so that was factored in as well. So, that’s kind of walk through on the guidance.
Chris Horvers: Just a couple of questions follow here. So, for the U.S., the kick down for the sort of implied U.S. comp from here, was that solely because of 2Q or did you change your back half outlook?
Carol Yancey: Probably more, a little bit of Q2, but honestly it was very transitory as Paul mentioned. I mean this was weather in Q2 and transitory. We still feel good about our commercial business and a lot of the factors, so really more of a Q2. We are not seeing anything else right now that would give us concern in the second half.
Paul Donahue: Chris, just a tag team on that a little bit. You know, you look at our core for GPC, it’s certainly North American automotive and industrial and we feel good about both of those key business and both add a good first half of the year. We expected everybody has been calling for a significant slow-down on our industrial business in the second of the year and if you follow all the metrics, whether it’s PMI, which has declined significantly from January to June, but then there was a manufacturing number that came out earlier this week, which was very positive.  So, you’re getting mixed signals on the industrial side. So, we’re being a bit cautious, but our motion business is hanging in there and when you look across industrial, I mean you’re looking at 34 straight months of growth in that world. So, we’re feeling pretty good about our two key and core businesses.
Carol Yancey: One final thing, I would just say the operating margin decline for Europe is probably more of a stand out than some of the slight modifications in the U.S. comp or the industrial comp.
Chris Horvers: Just to clarify that, is European auto – could you say it’s operating income loss currently?
Carol Yancey: No, just to be clear, and we talked about this in Q1, the margin decline in automotive margins, we said in Q1, was primarily as a result of Europe with them comping down 1%. To their credit, they in March took action plans and set out full plan for all their countries, and they’re starting to make a lot of progress on those plants, but what happened in Q2 was such – so much more pronounced that it’s really hard for them to, when you are comping down at a higher, as Paul mentioned 7% or 8%, whatever plans you had in place, it’s difficult to see the improvement. We do see some of that coming in the second half or some moderation, so when you look at automotive margins in Q2, we said more than half, it was probably 50 basis points of the 70 basis point decline and again we would expect to see that moderate with the plans they have in place. The teams have done some good job, looking at some consolidation of facilities, looking at some of their head count and some of their restructuring that they’re doing and they’ve got close attention on all these areas. So, they are definitely positive over prior year, it’s just the leverage issue with the poor sales decline.
Chris Horvers: Understood and one last one, just on a follow-up on the tariff question earlier. So, going to 25% now presumably those price increases are passing through now, so is the behavior the same they seem to be passed on very quickly by you and your peers back in September, call it of last year, is the 25 – is there any difference to like, is it being passed on more hesitantly and then how do you think about what maybe the inflation outlook will be for the industry given its move from 10% to 25% for the U.S. NAPA business?
Carol Yancey: Yes, it is a great question. As we kind of look ahead, I think as we, as you spoke to the 25% tariff, we do believe and we know and we’ve already done – have passed those along in many of our businesses and product lines, those went into effect right away, not seeing any issues with passing them along, but having said that our business had been pursuing alternative sourcing as we look to move purchases outside of China, be it Malaysia, India, Vietnam, Mexico, are picking up capacity. In addition, our Chinese sources are also moving some of their capacity from China and that’s going on as well.  So, when we look at the full-year, we will have a more pronounced effect for tariffs in the second half that will be passed through. We expect second half to be approximately 2% for automotive and I think we were 1.2 in the first half. So that will get us to probably a point and a half full-year tariff/inflation for automotive. For business products and office products, it’s going to be something less; it will probably be a half a point for the full-year on tariffs, but their inflation, which includes raw materials, commodities, supplier freight, their inflation will be more like 2% on a full-year basis.
Chris Horvers: That’s super helpful. Best of luck. Thank you.
Paul Donahue : Alright, thanks Chris.
Carol Yancey : Thank you.
Operator: Our next question is from Seth Basham from Wedbush Securities. Please go ahead.
Seth Basham: Thanks a lot, and good morning.
Paul Donahue: Good morning, Seth.
Carol Yancey: Good morning, Seth.
Seth Basham: My first question is to close the loop on the U.S. auto comp trends. You know it saw a nice strengthening in July, you spoke to material improvement in Europe in – I mean you spoke to material improvement in Europe in July, but do you also see a further acceleration or consistent mid-single digit type comp growth in the U.S. in July today?
Paul Donahue: It’s early, yes, Seth. But certainly, I would tell you that the hot, hot temps that we are seeing across the U.S. right now is going to be a real boost for our business. If you think about the NAPA business, we do a significant chunk of business up in the Midwest Central, which will get [I’m sure] somewhere someone will ask about regionality and our trends. Despite all the wet weather, the Midwest Central was our strongest performing business in the quarter. We do a lot of business with farmers and agriculture, and you know, many of these farmers are just now getting out in the field. So, this hot weather will help and we expect to see a boost in our topline in U.S. automotive in Q3.
Seth Basham: Got it. That’s helpful. Any other callouts from our regional performance standpoint for the quarter?
Paul Donahue: Yes. So, I mentioned central part of the U.S., Midwest, upper Midwest, but I’m also very pleased to see some strengthening performance in the South, both in the Southwest part of the country, as well as the Southeastern part of the country, both. But we have a – we track [eight] geographical regions except those four would be at the top of the list.
Seth Basham : Fair enough. And turning to margins for the auto business in the U.S., you saw a decline there, I guess, implied by your comments, what's driving that decline? What are you doing to control costs in the U.S. to alleviate that pressure?
Carol Yancey: Yes. And I would mention the other basic point decline in automotive margin is in part Canada and Australasia’s automotive margins and I would tell it’s a little bit of the slowing that we talked about in Australasia. Some of it is timing and definitely expect to see some improvement in the second half for both of those businesses. U.S. was slightly down. It was very minor, so we are really almost running flat U.S. automotive margins, and remember, we’re comping at 3.2% for the six months and we’re getting pretty good leverage, flattish operating margins out of that. But having said that, we’re not going to sit and say that we’re satisfied and we certainly want to improve our SG&A performance. So, there's a number of things that that group is looking at. You know specifically, they are looking at it from a North American automotive standpoint. Paul mentioned facilities and as we look for facilities, its consolidation and rationalization and a number of facilities with automation. In the last six months, we’ve got several facilities both in Canada and the U.S. with [goods to person] conveyor mechanism, [vertical less] modules, things like that mechanized orders that we’re using. Additionally, Paul mentioned functional areas, so think about IT technology, we’re really looking at a digital transformation of our IT infrastructure. So, we can best optimize things like the number of data centers we have, leveraging the cloud, new technologies and networking, back office functions, robotics, sales organizations, leadership, so a number of things that we’re working on as a group.
Paul Donahue: And Seth, I just would tag team on Carol’s comments, you know, you would ask this question of us at our Invest Day as well, and I would tell you that our teams have been really hard at work to reduce our overall cost structure at GPC. We’re – as Carol mentioned, we’re reviewing every aspect of our business. What I would tell you is during our Q3 call and presentation, we’ll be in a much better position to begin to unveil some of those more detailed plans for you.
Seth Basham: Wonderful. Thanks a lot. I look forward to it.
Paul Donahue : You’re welcome.
Operator: Your next question if from Bret Jordan from Jefferies. Please go ahead.
Bret Jordan: Hi, good morning.
Carol Yancey : Good morning.
Bret Jordan : Most of them have been asked, but a couple of cleanups, I guess. The other four regions, could you tell us how the East, Northeast, West and Northwest did?
Paul Donahue: Yes. Happy to, Bret. The – you know, the – most of those guys are in line. Where we looked at our comps, most of our – most of our regions were right in between, you know, on the low side of, you know, 1 to 2 and on the high side up to 4.5% or so. But, you know, the – where we see a bit more challenges are West, and I already mentioned the strength we’re seeing in the Midwest Central Southern parts of the – Southern parts of the country as well. The Northeast despite really bad weather performed just fine and as did the Mid-Atlantic. So, not a huge – you know, sometimes we see really huge disparity amongst the regions, but what I would tell you – that kind of that range narrowed this quarter. The other thing I would mention, Bret, that we did see across all of our divisions is strengthening in our DIFM business and that was consistent amongst all of our – all of our regions, which we are – I mean look, that’s our bread-and-butter and we’re really encouraged to see some of the DIFM initiatives. Our teams have been working so hard on really begin to take hold.
Bret Jordan: Okay, great. And then I guess as we’re looking at Europe, and you’ve call out weather and the economy, I guess could you sort of weight the impact of weather versus the economy and the softness there? And obviously as we get further from winter, have we sort of – have we regionally skewed the performance where weather is less impactful, but some economies are more impactful?
Paul Donahue: You know – so, Bret, we talked about that a little bit on the last call and we had the question earlier about the U.S. weather impact. You know, Bret, it’s really hard to pinpoint exactly. We do know it’s a significant factor. If you back to a year ago, certainly in the UK, they had one of their coldest winters on record followed this year by one of the warmest winters on record. So, it had a significant impact. It’s very difficult to pinpoint an exact number, but I would tell you that with the records heat that we've seen over the last number of weeks, we are seeing an uptick in the business and that’s got us feeling better about our back half prospects in the key markets in which we compete.
Bret Jordan: Okay, great. Thank you.
Paul Donahue: You’re welcome, Bret.
Operator: Your next question is from Elizabeth Suzuki from Bank of America. Please go ahead.
Elizabeth Suzuki : Hi, thank you. Just a longer-term question on Europe because you just made another acquisition there, and there's – you know even though you’ve seen some perhaps temporary weakness. Just curious how much of that weakness you think is going to continue to impact your overall results for more than a couple of quarters? And, you know, what the vehicle fleet dynamics are that make it an attractive market for you to be in long-term?
Paul Donahue : Yes. Great question, Liz. We’re still very bullish on the European aftermarket and hence the additional acquisitions that you’ve seen and read about over the last number of weeks. You know if we look at those individually, the one that we just announced yesterday, Todd. Todd is a very strong, heavy-duty truck part supplier in France. They have the 30 plus locations. The combination of Todd along with our existing heavy-duty footprint that we have in France will position us as the Number 1 player. And we’ve seen our heavy-duty business hold up well across all of Europe despite, you know, the slowdown that we’re seeing in the light vehicle market.  So, we feel good about the acquisition of Todd. We feel good about our acquisition of PartsPoint, which is, you know, based in the Netherlands and in Belgium is their stronghold. And again, they've not been as impacted as the – some of the other markets with the slowdown, and, you know, as we look at the European market and the vehicle [part of it], the vehicle part that is similar in size to the U.S., the age demographics are similar. It is incredibly fragmented aftermarket across Europe and we have not lost our excitement about that marketplace for the long term and we think we will be just fine. The issues we are faced with right now, less we believe are largely transitory and we’ll get past them as we go through the second half of the year.
Carol Yancey: And Liz one other thing about the margin. The team has done a tremendous job and Europe is very impactful from a global procurement synergy. So, when you look at our gross margin results and the overall improvement in margin and where we are tracking to our synergies with Europe, again that volume is impactful for us, it’s really the opportunities they have with some SG&A as they work through this core sales decline. So, longer-term we see that working its way out.
Elizabeth Suzuki: Okay, that’s very helpful. And just one more quick one. What age do vehicles typically enter your addressable market in Europe? Is it similar to the U.S. or is the sweet spot a little bit different?
Paul Donahue: No, it’s similar Liz. When the vehicles are going out of warranty and those warranties are very similar in Europe as they are in the U.S. The other thing I would mention about, the European market is there is very little to almost no retail business. So, DIFM really rules the aftermarket in European. So, very similar to the U.S., I would mention, now that we’re on the European market, one of the initiatives that will be launched in the second half of the year is to launch our NAPA private brand in Europe and we’ve got plans in place to launch it in the UK in three key product categories, and we think that’s going to give our team a real boost in the second half of the year.
Elizabeth Suzuki: Great. Thanks very much.
Paul Donahue: You’re welcome.
Operator: Your next question is from Michael Montani from Evercore ISI. Please go ahead.
Michael Montani: Hi guys, thanks for taking the question. Just wanted to add some extra clarity if I could around the U.S. comp trajectory, I’m sorry if I had missed this, but did you provide with the overall commercial and then DIY comps were in the quarter?
Paul Donahue: We did not provide that Mike for the quarter. I would tell you that both DIFM and DIY were positive and I would also tell you that DIFM significantly outperformed our DIY business in the quarter.
Michael Montani: Okay, and then if I heard correctly, I think you said there was a 3% U.S. comp in auto, but then more like a 2.3% total growth there, was there store closures or other rationalization there that could have caused that?
Paul Donahue: Yes and that was a good catch, much likely we talked about it in the first quarter and I guess it’s a little unusual to see comps outpacing total, but that was the case in Q2 and you’re right, our total U.S. comp were up 3% and what we’re pleased with Mike that’s our fourth consecutive quarter of 3% plus comp. We did have store closures that were up against, we had I believe about 40 plus that were not in our mix in 2019, but that’s an ongoing part our business, and where we have underperforming stores whether they are company owned or independent owned, we’re going to move and that’s the necessary part of the business. I would tell you that we see that, even though that was a factor in Q1 and Q2, we see that trend really slowing in the second half of the year.
Michael Montani: Thanks. And then if I could on traffic and ticket, I heard 1.2% from tariffs, was the ticket basically the same so that traffic was up over 1.5% to drive this through the year?
Paul Donahue: Well what I would tell you Mike is that, again we saw our average basket and average ticket was up significantly year-over-year, close to 4%, up year-over-year; unfortunately, what we saw this quarter, which was a bit of reversals over the last 2 or 3 quarters is we saw our foot traffic down just a bit, and honestly we attribute that to some of the inclement weather that we saw, you know when you have as much rain as we saw in late April and May even into early June, that’s going to – unfortunately it’s going to impact the foot traffic we see in our stores and so that was an impact in Q2.
Michael Montani: The last thing I had was on the U.S. EBIT margin if I heard correctly for automotive was maybe down slightly even with that 3.2 comp, and so I was just trying to reconcile the because with the total company gross is up 85 bips plus and I think automotive was one of the stronger ones, if you can just help us understand and parse that out?
Carol Yancey: Yes. So, again, we’ve talked about, and you’re right, the U.S. automotive team has done a terrific job on the gross margin and we are really pleased in this inflationary and tariff environment to be able to protect and maintain our gross margin percentage pass those through, and also have this quarter improvement in gross margin.  The things we talked about in SG&A and some of it I call out is our increased level of investment, these things that we’re doing with facilities and automation and technology, digital investment, pricing investments you see our elevated CapEx, we’ve talked about IT spend, cyber security, those things are all weighing on their SG&A. We actually, when we look at payroll and freight, where we were a year ago with payroll and freight is, I mean, I think I remember this call a year ago, pay roll was up 6% in year-to-date and year ago freight was up low double digits. They are sitting more like 2% to 3% in payroll and 6% to 7% for freight. So, those things have moderated and that’s helped, but we still have the cost of some of these investments that is in our SG&A. So, they should be second half again if comps continue around 3%, we should see that be similar and hopefully maybe a bit better in the second half.
Michael Montani: Great. Thanks so much.
Paul Donahue: Thanks Michael.
Operator: Our next question here is from Chris Bottiglieri from Wolfe Research. Please go ahead.
Chris Bottiglieri: Hi. Thanks for taking the questions. I just wanted the part you left off on, are you assuming 3% in the back half? Wasn't sure that was a good tongue slip or something?
Carol Yancey: U.S. comps?
Chris Bottiglieri: Yes.
Carol Yancey: That’s fair, yes.
Chris Bottiglieri: Okay. That’s helpful. And then I wanted to dig in on margins a little bit. In Europe, it’s roughly 20% of your business that’s only 50 basis point decline, and that would imply European margins were down 250 bips. If I recall the accounting and business structure in France is a little bit different from the rest of Europe. So, it sounds like a lot better than 200 basis points decline last quarter given that the weakening macro environment is on Q2. Let’s try to understand if France was a disproportionate impact of that margin decline, if any way you can contextualize that would be helpful?
Carol Yancey: Yes. I mean, we're not going to get into exact specifics on that, but you heard Paul say, France was one of the toughest markets in Q2, and from a number of factors in the quarter that was a difficult market and it was a difficult comp for them. Again, that team has a number of things in place that they’re looking at and we should hope to see some of those things take effect. We do think, and we’ve modelled for to this, that what we saw in the first half of the year, the impact on margins does moderate in the second half and that’s because of some of the things that are putting in place, but France was a disproportionate number.
Chris Bottiglieri: That's helpful. And then free cash flow, I think you kind of touched this on the prepared comments, but it looks like you cut the free cash flow guide at $100 million. The EPS cut was I know just backing into [with price or EBITDA] seems a lot less. So, trying to get a sense as CapEx going up relative to the plan, is it all working capital, are there more like cash non-GAAP items driving that, just any way you can contextualize the cut of free cash flow would be helpful?
Carol Yancey: Yes. So, I think, I mean you’re right. We modified it slightly, maybe around 100 million. I would say it’s more around working capital. The timing of when these terms come. So, let's say we have terms with our supplier that are 180 days and then we negotiate it to be 240 days or we negotiate to 360, we don't see that for another six months. So, the timing of some of the working capital is what went into that. So that was really – and there were some slight changes in some of the other categories, but mostly working capital. CapEx, we looked at $300 million, which is what it's been the whole time.
Chris Bottiglieri : Got you. Okay. And then final one is like positive question. This industry is historically very dissensitive, a cyclical. I understand like initially, there's economic weakness in Europe and a lot of other factors that are transitory that you're dealing with. But is there any way to look at your data internally and tell you how did the European business perform on a same branch basis, compared to how your U.S. business performed in the last downturn? Just trying to get a sense for like does this get better or soon? Or this because it's defensive and like this cyclicality that we're seeing today maybe goes away even if European growth kind of stays where it is. Any way to contextualize, that would be helpful?
Paul Donahue: Yes. Chris, I'll take a shot at it. Look, we do believe it's going to get better. The European marketplace, as I mentioned to an earlier question is very similar in nature. The aftermarket is very similar in nature to the U.S. aftermarket. And I think what we saw, which was a bit unprecedented in Q2, as we talk to our senior management team, who you've met, Chris, they've been running that business for 30 years in Europe and what they saw in Q2, they have not seen in all the time they've been running that business. It was a confluence of events. Certainly, the slowdown in the economy. Some of the geopolitical issues with Yellow Vests and disruptions around that coupled with an incredibly mild winter and all of those factors unfortunately hit us at once and led to a really soft quarter for the team. We don't see that as a long-term situation, and certainly, we'll – we're certainly expecting that to improve in the second half of the year and well into 2020.
Carol Yancey: And I think one final thing. We think we will see improvements from their cost initiatives and as well as the integration of their acquisitions, too, as we look ahead, which will help offset this.
Chris Bottiglieri : Got you. Makes sense. Alright, thank you for the time.
Paul Donahue : Thanks, Chris.
Operator: This concludes today's question-and-answer session. I'd like to turn the floor back over to management for any closing comments.
Carol Yancey: We'd like to thank you for your participation in today's call. We appreciate your support and interest in Genuine Parts Company, and we look forward to talking to you at our Q3 call. Thank you, and have a great day.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you again for your participation.